Operator: Good morning, and welcome to the GeoPark Limited Conference Call following the results announcement for the third quarter ended September 30, 2016. [Operator Instructions] If you do not have a copy of the press release, please call Sard Verbinnen & Company in New York at +1-212-687-8080 and we will have one sent to you. Alternatively, you may obtain a copy of the release at the Investor Support section on the company's corporate Web site at www.geo-park.com. A replay of today's call may be accessed through this webcast in the Investor Support section of the GeoPark corporate Web site. Before we continue, please note that certain statements contained in the results press release and on this conference call are forward-looking statements rather than historical facts and are subject to risks and uncertainties that could cause actual results to differ materially from those described. With respect to such forward-looking statements, the company seeks protections afforded by the Private Securities Litigation Reform Act of 1995. These risks include a variety of factors, including competitive developments and risk factors listed from time to time in the company's SEC reports and public releases. Those lists are intended to identify certain principal factors that could cause actual results to differ materially from those described in the forward-looking statements, but are not intended to represent a complete list of the company's business. All financial figures included herein were prepared in accordance with the IFRS and are stated in U.S. dollars unless otherwise noted. Reserves figures correspond to PRMS standards. On the call today from GeoPark is James F. Park, Chief Executive Officer; Augusto Zubillaga, Chief Operating Officer; Andrés Ocampo, Chief Financial Officer, Pablo Ducci, Director of Capital Markets; and Dolores Santamarina, Investor Manager. And now, I'll turn the call over to Mr. James Park. Mr. Park, you may begin.
James Park: Thank you, and welcome everyone. We're joining this morning from Buenos Aires, Argentina, to report on and answer any questions regarding our 2016 third quarter results and 2017 work program and investment guidelines. The 2015–16 volatility in our industry represents the real acid test for company, and GeoPark's successful performance and continuing track record of growth through this period proves the quality and durability of our assets, team, and plan. Our financial results in the third quarter align with our operating success through the year and include improvements in our key metrics of oil and gas production, reserves, and cash flow. Our drilling activity centered on the Tigana/Jacana oilfield complex in the Llanos 34 Block discovered and operated by Geopark. With its generous geology, cheap operating cost, and functioning infrastructure, Tigana/Jacana is shaping up to be a foundational asset that is powering Geopark's value growth now and over the next years. Last year's certification showed our team has discovered a 100 million barrels in these fields, and drilling this year has pushed out the field frontiers further. The Jacana 6 well, which was just drilled to explore the Western limits will be tested shortly. In addition to expanding the field dimensions of Tigana and Jacana, our economics continue to excel. The cost to drill and complete a well are now averaging just $3.4 million. Operating costs are less than $3 per barrel. Per well recoveries are exceeding 2 million barrels. New wells have an internal rate of return of over 500% at a $40 oil price, and capital expenditure paybacks are within six months, meaning this oil play is paying for itself. As we finished 2016, and head into 2017, Geopark has created a powerful wind to our back with a strengthened company and ambitious work program and a transformational asset to underpin an increasing rate of growth. We built a strong 2017 work and investment program that provides production growth in almost any oil price scenario. The richness of our organic project portfolio allowed us to select the cream from over a 150 differed value-adding projects generated within Geopark's five country business units. Our program focus over 70% will be to further unlock the big potential of Tigana and Jacana, where we have just begun to scratch the surface. Additional exploration drilling will test a new fault-trend parallel to the Tigana/Jacana and two fault-trends in the Llanos 34, and also explore new high potential prospectus and plays in proven basins in Argentina, Chile, and Brazil. Our 2017 base case at a $45 to $50 oil price is targeting a 20% to 25% production increase from a fully funded $80 million to $90 million capital program supported by an oil price hedge that includes drilling 30 to 35 wells, and a forecasted extra production of 30,000 plus barrels of oil equivalent per day. Thank you and we're now pleased to invite any questions for our team and some additional insights.
Operator: The floor is now open for questions. [Operator Instructions] Your first question comes from Andrés [indiscernible] of Itau.
Unidentified Analyst: Thank you for the question, and congratulation on the results. My first question is on the hedging strategy mentioned in this quarter. Is this a new strategy or has it always been ongoing? And if you could also comment on your policy for doing hedges moving on to 2017? My second question is on the CapEx program. Could you give us a breakdown and where you expect production to come from any of these by country [ph] next year? And also could you please comment on how the inflation in the industry has impacted your CapEx plan for the next year? Thank you.
Andrés Ocampo: Thank you, Andrés [ph] and good morning. Andrés Ocampo here. So, first going to your first question about hedging, so, we design a program that allow us to do hedging for a portion of our production generally to secure minimum oil prices that are within or higher than our -- than the prices that we typically use for our budgeting purposes. So this year, we did a hedging transaction for a couple of months in the first half of the year that we fixed $45 per barrel for a period of time and that expired already, and now as part of this policy we hedged roughly 30%-35% of our estimated production from now from November until June next year that covers basically 6,000 barrels a day, and has a minimum price -- Brent price of $50 per barrel and includes a maximum price for those barrels of $57 per barrel. This is a zero-cost collar type of structure. So generally on an ongoing basis, we would hedge at different moments probably within a year -- within a year ahead, volumes around 30% to 50% and for prices that are within the budget the prices that we use for each of our budgets. Then to your second question about CapEx program for next year, as we described in our release, we're accelerating our CapEx next year. We are very excited about this program. We are targeting production growth in any of the scenarios that we are targeting for next year. So that's very exciting. On a base case, that will run at $45 to $50 Brent. We are estimating we will 20% to 25% of our production. Most of that growth is going to come from our Colombian assets. We estimate Brazil production to remain relatively flat throughout next year. Chile production to be within flat to may be a 5% production growth. So, most of the production that we're associating to next year program is going to come from the investment in our Colombian asset. We are also doing some exploration as, Jim mentioned, in the introduction. We are doing some exploration in Argentina and Brazil, but you know our targeted numbers will not assign any production to those investments.
Unidentified Analyst: Great, thank you.
Andrés Ocampo: Thank you.
Operator: [Operator Instructions] Your next question comes from David Dudlyke of Dundee Capital Markets.
David Dudlyke: Yes, good morning everyone. I have a question regarding Block 34. I have a problem resolving the notable production app that you had in the second half from Jacana 3, 4, 5, and mostly recently Tigana 4. By your press releases you talked to IP rates of some -- if you add them all up, some 10,400 barrels gross, it's about 4,700 barrels net. And if we just for simplicity just look at -- focus on Q4 when all four wells were up and running, I have a difficulty essentially tying such growth with your own stated exit rates of I guess midpoint 24,500. So I make an assumption that's Chile and Brazil stay more or less flat. The growth implied by your year-end exit rates lies well short of the growth that's perspectively -- Block 34 would have pick lad. I've looked at the various fields albeit, we don't have any updates of field-by-field up till June, there don't seem to be any conspicuous natural declines taking place. So I'm just trying to square the circle. I'm just essentially determined how conservative that year-end exit rate might be?
Andrés Ocampo: Okay. Well, thank you David, and good morning. Great to have you on the call. Yes, you're right, I mean by the new -- your numbers are fairly right by the new investments and the new wells that we've brought on production. We added roughly, slightly above 10,000 barrels a day of gross production in 34. We gave our exit rates. There are some wells in our Tua fields that were off temporarily, some of them were back on. So that may affect the portion of the production. Also in Chile and Brazil we are estimating maybe probably the same numbers towards the end of the year. And of course, we are factoring some decline in our fields that may or may not happen. So we feel fairly confident with that -- with our guidance on our exit production. We wouldn't change it at this point.
David Dudlyke: Okay. And moving to further growth in Colombia, I mean, it's not often that one trips up over an asset such as Block 34. So where do your ambitions take you and how can you best exploit the subsurface knowledge that you've gained and indeed employed on Block 34? Where else within Colombia do you think offers such ample opportunities?
Andrés Ocampo: Well, I agree with you, I mean it's not often that you come across assets like 34, but you know, we are finding these incredible oil plays. So first and foremost and our south program is showing for next year. We're putting all our energy and effort and capital, or most of our capital into unlocking the value of this play fully operating worth the size of it is. So we are going to be basically concentrating most of our energy in unfolding this great asset, and of course, our team is actively looking where this can be actually replicating. We expect -- we're pretty confident that this is not the only particular place in Colombia, where this was -- these types of processes could be found. So hopefully we can find the other places, but still even within Llanos 34, we are testing during next year this Northwest pole trend that is parallel to Tigana/Jacana trends. That has a couple of prospects that our team has not there. So we are going to be trying that play as well, and hopefully encouraging results we expect.
David Dudlyke: Okay. And thank you very much for your responses. That's it from me for the moment.
Andrés Ocampo: Thank you, David.
Operator: At this time, there are no further questions. I will now turn the floor back over to Mr. James Park for any additional or closing remarks.
James Park: Well, I'd like to take this opportunity to thank everyone on this call for your interest in Geopark and your continued support of our company. We encourage you to please visit any of our offices or operations, and invite you to please call us for any information. Thank you, and good day.
Operator: Thank you for your participation on today's conference. This does conclude today's call. You may now disconnect.